Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Cullen/Frost Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions] Please be advised, that today’s call is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Avi Mendes, Senior Vice President and Director of Investor Relations. Thank you. Please go ahead, sir.
Avi Mendes: Thanks, Janice. This morning's conference call will be led by Phil Green, Chairman and CEO; and Jerry Salinas, Group Executive Vice President and CFO. Before I turn the call over to Phil and Jerry, I need to take a moment to address the safe harbor provisions. Some of the remarks made today will constitute forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 as amended. We intend such statements to be covered by the safe harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995 as amended. Please see the last page of text in this morning's earnings release for additional information about the risk factors associated with these forward-looking statements. If needed, a copy of the release is available on our website or by calling the Investor Relations at 210-220-5234. At this time, I'll turn the call over to Phil.
Phil Green: Thanks, Avi. And good morning, everybody. Thanks for joining us. Today I'll review second quarter results for Cullen/Frost; and our Chief Financial Officer, Jerry Salinas, will also provide additional comments and then we’ll open it up for your questions. In second quarter, Cullen/Frost earned $93.1 million or $1.47 per share compared with earnings of $109.6 million, or $1.72 per share in the same quarter of last year and $47.2 million or $0.75 a share in the first quarter of this year. Beyond the financials, the second quarter was an extraordinary one for Frost. To add our response to the COVID-19 pandemic, we've been continuing serving customers with appointments in our bank lobbies, to our motor banks, with our online and mobile banking service, to around the clock telephone customer service and at our network of more than 1200 ATMs. I'll talk in more detail about our Houston expansion and our Paycheck Protection Program loans. But for now, I'd like to point out that we have been completing our organic growth initiatives and still achieving the same award winning level of customer service process known for, despite having more than two thirds of our employees working remotely. In fact, during the second quarter, we learned that Frost had achieved its highest ever Net Promoter Score with a jump from 82 to 87. And that's a score that would be the envy of many well known brands, and it's a testament to our core values and our ability to consistently take care of our customer’s needs, especially during trying times. More recently, we learned a process among the banks, that Greenwich and Associates has identified as standouts in their response to the pandemic based on customer surveys. In fact, Frost was one of only two banks to be named a standout in both the small business banking and middle market banking categories. I mentioned the Paycheck Protection Program. As of June 30, when PPP loan applications were initially scheduled to end, we had helped nearly 18,300 of our customers get PPP loans, totaling more than 3.2 billion. In the state of Texas, Frost was number in PPP lending with 5% of the loans in San Antonio, Fort Worth and Corpus Christi, Frost was number one in terms of PPP loans approved and in San Antonio we had more PPP loans in Bank of America, Chase, and Wells Fargo combined. We did well helping businesses of all sizes, but I'm particularly pleased that more than three quarters of our PPP loans were for $150,000 or less, and close to 90% were for 350,000 or less. PPP applications have been extended into August. And we're still taking anywhere from a few to 50 applications per day. Through July, we’ve taken an additional 500 applications for over $22 million or an average size of about $45,000. Meanwhile, we're setting up processes to help borrowers get their loans forgiven. We've heard many, many messages of thanks from our customers whose businesses were aided by PPP. And the efforts of Frost bankers have helped save hundreds of thousands of jobs. Those results are more reflective of our culture and our philosophy than even the numbers we're reporting today for the second quarter. Average deposits in the second quarter were $31.3 billion, up by more than 20% from the $26 billion in the second quarter of last year, and the highest quarterly average deposits in our history. We're grateful for the confidence our customers has placed in us during these times. Average loans in the second quarter were $17.5 billion, up by more than 20% from the $14.4 billion in the second quarter of last year. That includes our strong showing in PPP loans, but our loan total would have been up approximately 5% even without PPP. In the second quarter our return on average assets was 0.99% compared to 1.4% in the second quarter of last year. Our credit loss expense was $32 million in the second quarter, compared to $175.2 million in this first quarter of 2020 and $6.4 million in the second quarter of 2019. That first quarter provision was significantly influenced by our energy portfolio stress scenario of oil at $9 per barrel for the remainder of 2020. Oil prices have since stabilized at levels well above that assumption, and the energy borrowing base re-determinations are 95% complete. Net charge-offs for the second quarter were $41 million, compared with $38.6 million in the first quarter and $7.8 million in the second quarter of last year. Annualized net charge-offs for the second quarter were 0.94% of average loans. Second quarter charge-offs were related to energy borrowers that have been discussed for several quarters. Non-performing assets were $85.2 million at the end of the second quarter compared to $67.5 at the end of the first quarter, and $76.4 at the end of the second quarter last year. At the current level, non-performing assets represent only 22 basis points of assets which is well within our tolerance level and our level lower than our average non-performing assets over the past nine quarters. Overall delinquencies for accruing loans at the end of the second quarter were $91 million, or 51 basis points of period end loans. Those numbers remain within our standards and comparable to what we've experienced in the last, past several years. The payment deferrals, we have extended to customers due to the pandemic related slowdown have had some impact on delinquencies. To the end of the second quarter, we granted 90 day deferrals, totaling $2.2 billion. Of loans whose deferral period has now ended, which is about $1.1 billion, only $72 million worth have requested a second deferral. Total problem loans, which we define as risk grade 10 and higher were $674 million at the end of the second quarter, compared to $582 million at the end of the first quarter, which happened to be a multi year low. A subset of total problem loans, those loans graded 11 and worse, which is synonymous with the regulatory definition of classified totaled $355 million for only 12% Tier 1 capital. Energy related problem loans were $176.8 million at the end of the second quarter, compared to $141.7 million for the previous quarter, and $93.6 million in the first quarter of last year. To put that into perspective, the year in 2016 total problem energy loans totaled nearly $600 million. Energy loans in general represented 9.6% of our non-PPP portfolio at the end of the second quarter, if you include PPP loans, energy loans were 7.9%. As a reminder, the peak was 16% back in 2015, and we continue to diversify our loan portfolio and to moderate our company's exposure to the energy segment. As expected, and as we discussed in the first quarter call, the pandemics economic impacts on our portfolio have been negative, but manageable. During our last conference call, we discussed portfolio segments that have had increased impact from economic dislocations brought on by the pandemic. Besides energy, we've narrowed these down to restaurants, hotels, aviation, entertainment and sports, and retail. The total of these portfolio segments, excluding PPP loans, represented almost $1.6 billion at the end of the second quarter. Like the energy portfolio, we continually review these specific segments, and we have frequent conversations with those borrowers to assess how they're handling current issues. Combined with our risk assessments, these conversations influence our loan loss reserve to these segments, which is 2.52% at the end of the second quarter. Overall, our focus for commercial loans continues to be on consistent balanced growth, including both core loan component which we define is lending relationships under $10 million in size, as well as larger relationships, while maintaining our quality standards. We're hearing from customers in all segments that economic impact of the pandemic, as well as the uncertainty ahead and those factors have had an impact on our results. New relationships are up by about 28% compared with this time last year, largely because of our strong efforts in helping small businesses get PPP loans. When we ask these businesses why they came to Frost, 340 of them told us that PPP was a key factor. The dollar amount of new loan commitments booked through June dropped by about 3% compared to the prior year. Regarding new loan commitments booked, the balance between these relationships went from 57% larger and 43% core at the end of the first quarter to 53% larger and 47% core so far in 2020. And that's about where it was this time last year. The market remains competitive. For instance, the percentage of deals lost to structure increased from 61% this time last year to 75% this year. Our weighted current active loan pipeline in the second quarter was up 24%, compared with the end of the first quarter. The first quarter numbers were low and reflected the uncertainty about the pandemic's effect. On the consumer side, we continue to see solid growth in deposits and loans, despite the impact from the pandemic, and the reduction in customer visits to our financial centers. Overall, net new consumer customer growth rate for the second quarter was 2.2% compared to the second quarter of 2019. Same store sales, however, is measured by account openings were down by 30% through the end of the second quarter, as lobbies were opened only for - by appointment only, and through drive [ph] and tellers. In the second quarter 59% of our account openings came from our online channel, which includes our Frost Bank mobile app. Online account openings in total were 72% higher compared to the second quarter of 2019. The consumer loan portfolio was $1.8 billion at the end of the second quarter, and it increased by 4.3% compared to last year. Overall, Frost Bankers' have risen to the unique challenges presented by the pandemic and its results in shutdowns with a mix of keeping our standards and sticking to our strategies, along with a truly remarkable amount of flexibility and adaptability. Our Houston expansion continues on pace, with four new financial centers open in the second quarter and two more opened already in the third quarter for a total of 17 of the 25 planned new financial centers. Those new financial centers include our location in the Third Ward where customer response has been enthusiastic. Even though our lobbies are open for appointment only. Our employees manage those new financial center openings, while most of them are working remotely due to the pandemic, and also while non-stop - working non-stop to help our business customers stay afloat [ph] with PPP loans. And that commitment and dedication is what Frost workforce philosophy and culture is all about. As I mentioned earlier, we've gained a lot of new business relationships through our PPP efforts. And customers that are new to us are learning what a long-time customer has always known [ph] that Frost is a source of strength for customers and our communities and also a source and force for good in people's everyday lives. I told our team that their efforts are historic and heroic, and I'm extraordinarily proud of our company and we've been able to help so many small businesses get through these extraordinary times. It's clear that many pandemic challenges remain, particularly here in Texas, we're seeing the spirit and dedication of Frost employees who live our philosophy and culture every day, gives me optimism that we will help our customers find a way through this situation and come out stronger. And now I'll turn the call over to our Chief Financial Officer, Jerry Salinas for some additional comments.
Jerry Salinas: Thank you, Phil. I want to start out by giving some additional financial information on our PPP loan portfolio. As Phil mentioned, we generated over $3.2 billion in PPP loans during the quarter. Our average fee on that portfolio was about 3.2% and translates into about $104 million. Our direct origination costs associated with these loans totaled about $7.4 million, resulting in net deferred fees of about $97 million, about 20% of the net fees were accreted into interest income during the second quarter. Looking at our net interest margin, our net interest margin percentage for the second quarter was 3.13%, down 43 basis points from the 3.56% reported last quarter, excluding the impact of our PPP loans, the net interest margin would have been 3.05%. The 43 basis point decrease in our reported net interest margin percentage, primarily resulted from lower yields on loans and balances at the Fed, as well as an increase in the proportion of balances at the Fed, as a percentage of earning assets, partially offset by lower funding cost. The taxable equivalent loan yield for the second quarter was 3.95%, down 70 basis points from the previous quarter, impacted by the lower rate environment with the March Fed rate cuts and decreases in LIBOR during the quarter. The yield on PPP loan portfolio during the quarter was 4.13% and had favorable 3 basis point impact on the overall loan yields for the quarter. Looking at our investment portfolio, the total investment portfolio averaged $12.5 billion during the second quarter, down about $463 million from the first quarter average of $13 billion. The technical equivalent yield on the investment portfolio was 3.53% in the second quarter, up 7 basis points from the first quarter. Our municipal portfolio averaged by about $8.5 billion during the second quarter, flat with the first quarter with the taxable equivalent yield also flat at the first quarter at 4.07%. At the end of the second quarter over 70% of the municipal portfolio was pre-refunded or PSF insured. The duration of investment portfolio in the second quarter was 4.4 years compared to 4.6 years last quarter. Looking at our funding sources, the cost of total deposits for the second quarter was 8 basis points, down 16 basis points from the first quarter. The cost of combined Fed funds purchased and repurchase agreements, which consists primarily customer repos decreased 80 basis points to 0.15% [ph] for the second quarter from 0.95% in the previous quarter. Those balances averaged about $1.3 billion during the second quarter, up about $36 million from the previous quarter. Looking to non-interest expense, total non-interest expense for the second quarter decreased approximately $3.5 million, or 1.7% compared to the second quarter last year. The expense decrease was impacted by the $7.4 million in PPP loan origination costs that were deferred and netted against the PPP processing fee, which were amortized into interest income as a yield adjustment over the life of those PPP loans. Excluding the favorable impact of deferring those origination fees related to PPP loans, total non-interest expenses would have been up $3.8 million, or 1.9%, compared to the second quarter last year. In addition to the reduced expense run rate during the second quarter, due to the pandemic effect on the business environment, we continue to focus on managing our discretionary spending and looking for ways to operate more efficiently. As we look out for the full year, adding back to $7.4 million in deferred expenses related to the PPP loans I mentioned previously, we currently expect annual expense growth of something around 6%, which is down 2.5 percentage points from the 8.5% growth guidance we gave last quarter. Regarding income tax expense, we did recognize a $2.6 million one-time discrete tax benefits during the quarter related to an asset contribution to a charitable trust during the second quarter. Excluding the impact of that item, our effective tax rate on a year-to-date earnings would have been about 3.1%. With that, I'll turn the call over - back over to Phil for questions.
Phil Green: Thanks, Jerry. Okay, we'll open up the call for questions now.
Operator: [Operator Instructions] Your first question comes from our line of Brady Gailey of KBW.
Brady Gailey: Yeah, thanks. Good morning, guys. It's Brady Gailey.
Phil Green: Hey, Brady.
Jerry Salinas: Good morning, Brady.
Brady Gailey: So I was a little surprised to hear that 20% of the PPP fees were captured in the second quarter. That seems a little higher than what some of the other banks have disclosed, any color around how you're able to capture that amount of fees before any sort of forgiveness?
Phil Green: Really what we're assuming, we look at those loans, Brady on a pool basis. And so we're really just looking at it over the expected term of those loans. We expect a big portion of those to pay off later this year. So when I look out, I think our current expectations is, it will learn about 60% of that fee in 2020, and about 40% of it in ‘21.
Brady Gailey: Okay. And then, you know, I heard your comments on some of the issues with the tax rate coming in lower, so it's actually negative for the quarter. But can you just go over that again, and is there anything else that's driving this tax rate to be lower than it normally is?
Phil Green: Well, you know, unfortunately, earnings are lower and, you know, we've got pretty big municipal portfolio and obviously, that higher tax exempt income drives down that - the tax rate and we would have had a low effective tax rate for the quarter, had we not had that $2.6 million credit. But it would have been a tax expense. But with that, that brought us into the negative territory. So no, there's nothing unusual, other than the $2.6 million discrete item that's going through the second quarter.
Brady Gailey: And then finally, for me, I know on last quarters call, we talked about the full year net interest margin for you guys being a little above 3%, I mean, now that we’re one more quarter into the year. I mean, does that still feel like the right NIM level?
Jerry Salinas: I think the guidance we gave Brady was x-PPP, that’s the guides you guys asked for and yeah, I'm still comfortable with that.
Brady Gailey: Okay, great. Thank you.
Jerry Salinas: Sure.
Operator: Your question comes from the line of Dave Rochester of Compass Point.
Dave Rochester: Good morning, guys.
Phil Green: Morning.
Jerry Salinas: Good morning.
Dave Rochester: I definitely appreciated the reserve on the more at risk book [ph] you guys gave, I was just wondering what's your energy reserve was following the charge-offs this quarter?
Jerry Salinas: Energy reserve is about $40.8 million. So that's about 2.86% coverage. That's down from the 6.58% that we had in the, in the second quarter. Phil mentioned, we had about $35 million in charge-offs related to energy in the quarter. And then also obviously with the CECL allowance calculation that we did, if you recall, and then Phil mentioned in his comments when we did this, the allowance calculation last quarter, we were looking at oil at $9. And obviously we've got a huge improvement during the quarter.
Dave Rochester: Right, so I bet, I guess I had that at a little over $100 million last quarter, so with the $35 million charge-offs, you effectively released, I guess, what $28 million roughly? Is that right?
Jerry Salinas: Right, yeah, exactly.
Dave Rochester: Okay. Got you. Appreciate that. And then what are you guys seeing for new loan yields overall? And securities purchase yields at this point in the quarter, just with lower rates, and I was just curious where you're seeing those yields come in?
Jerry Salinas: Yeah. You know, unfortunately, the security side, there's not a whole lot out there. I think we did purchase about $200 million during the quarter of mortgage backs, I think and we were about a 151. So no, nothing, right. But certainly better than the 10 basis points we were earning at the Fed.
Phil Green: Our loan yields have been pretty consistent with previous quarters. So we're seeing less usage of LIBOR which is good, given its going away, but we’re seeing a little bit of an increase in the fix component with people taking advantage of the current rate environment, but I’d say its fairly consistent.
Dave Rochester: Okay. So if I back out the PPP fees from this quarter, I'd probably be closer to where the average is going forward effectively. I mean, are you looking for any more loans yield pressure x-PPP? Given what you're seeing in the market, the price market?
Phil Green: I am sorry, what you asked about PPP, I couldn’t hear?
Dave Rochester: Oh, sure. I was just saying excluding PPP, given loan yields this quarter, and what you're seeing currently in the market, are you expecting any more loan yield pressure going forward? Are you are you expecting that loan yields to be relatively stable from here, excluding PPP?
Phil Green: Yeah, you know, I think it depends on what you have in maturities versus, you know, the fixed side versus what is being back on, we put back on at. Its not the topic that we're talking about a lot on. We expect to see a lot of compression here. I think the interesting thing is going to be what we're seeing as the replacement for LIBOR as we continue to move forward through '21. But that’s interesting.
Dave Rochester: Okay, and then maybe just one last one on the fee side, I was curious how much fee waivers impacted service charges and the other charge lines, and what's the outlook on that is going forward?
Jerry Salinas: The fee waivers actually weren't a huge part of the second quarter run rate, really the - they were in the – and they fall in the first quarter, maybe the first month and the second quarter we did see higher levels, but rather what we saw in the quarter was just really a lower run rate. What I will you, as that we looked at those on a monthly basis, I will say that June and into July are stronger than we've seen in April and May. So I'm feeling a little positive there. The uncertainty, of course, is everything that's going on with the pandemic. So you should be more pressured, you know, with the math and the stay at home. But, you know, for what we saw in June, it was certainly stronger than April and May and early into July, even a little bit better there.
Dave Rochester: Okay, great. Thanks, guys.
Jerry Salinas: Thank you.
Operator: Your next question comes from the line of Steven Alexopoulos of JPMorgan.
Steven Alexopoulos: Good morning, everybody.
Phil Green: Good morning.
Jerry Salinas: Morning.
Steven Alexopoulos: Just to follow up on the energy reserve, so you said you were assuming $9 in the prior quarter, what level you were assuming now?
Jerry Salinas: What I was going to say this, we did use - so what happened, obviously, as you recall, the prices were changing so much at the end of the quarter, the first quarter, Moody's really couldn't keep up. And so we ended up doing our own internal stress test. I think in the case of a baseboard, what we did was we used - the Moody's price was $26 a barrel, for the second quarter of 2020. And then moving up to $32 for the - through the fourth quarter of this year and then $42 on into ‘21.
Steven Alexopoulos: Got you. Okay. I'm curious, so the reserve decline this quarter was using some of the energy reserve and changing that. How did the economic forecast components of the reserve change in the quarter?
Jerry Salinas: Well, obviously the, you know, from the standpoint of, you know, what were the expectations, yeah, I don't have the specific changes. I think that we use the Moody's consensus scenario. And so you know, that one, if you recall, is one that talks about, you know, GDP going down 23.5% in the second quarter. We bounce in the third quarter, unemployment rate, about 50% [ph] in the second quarter, improving to about 10%, by the fourth quarter. And then I think Texas, Texas is a little bit better there. So really, so if you want to go through the specifics of it, I guess the, you know, the net decrease in the allowance of $9 million, I think a lot of it was an increase in the - yeah, so that is kind of what was happening from an economic standpoint, I think the economy is better. I think that one thing that was different this time for us was really on the commercial real estate portfolio. Because the commercial real estate portfolio for us really ended up being a lot more sensitive to the volatility and the forecasted technical employment rate and the forecasted US GDP. And so the model for our commercial real estate portfolio is about 107%, higher than the model rates for our C&I portfolio. And we tend to believe that the loss rate for our owner occupied commercial real estate and our C&I should be similar, both are underwritten with the assumption that the primary response repayment source is the cash flow from the operations of the borrower. So that was probably the one area where the model in and of itself requested - was requiring a higher reserve. And then based on the specifics of how our owner occupied real estate performed, real estate portfolio performs, we did make a reduction. I don’t know if that answers your question, but that's…
Steven Alexopoulos: That's helpful. And then it looks like the COVID sensitive loan exposures came down nicely quarter-over-quarter, I think you called at 1.6 billion. Last quarter, you gave us the breakout of that in terms of energy, restaurant, hotel, et cetera. Could you give us that breakdown of the $1.6 billion?
Jerry Salinas: Yeah. And $1.6 billion does not include energy, but what I'm showing is retail is about $783 million, hotels and lodging about $261 million, restaurants $225 million, aviation $194 million and entertainment $120 million.
Steven Alexopoulos: Okay.
Jerry Salinas: They haven’t combined allocated allowance of 2.52% at the end of June.
Phil Green: I'll just give you a little more detail on allowance by sector. So the reserve for the restaurant component was at 4.34%. On the hotels, it's 1.21%. Reserve on sports and entertainment is 4.58%. Reserve on aviation was 2.8%. And then the reserve on total retail combined was 2.06%.
Steven Alexopoulos: Okay. That's actually really helpful. If I could squeeze one more in. Just following up on the tax rate. What's your outlook for the tax rate for the second half? Thanks.
Phil Green: Sure. I mean, I think adjusted 3.1% that I gave, that would have been the year-to-date rate without that discreet item in the quarter, that you know, I think its something in that range. Obviously, you know, it's pretty low now. I don't expect it to go any lower. So I'd say that 3% to 5% range.
Steven Alexopoulos: 3% to 5%. Okay. Thanks for taking my questions.
Phil Green: Thank you.
Operator: Your next question or comment comes from the line as Jennifer Demba of SunTrust.
Jennifer Demba: Thank you, good morning.
Phil Green: Morning.
Jerry Salinas: Good morning.
Jennifer Demba: Your net charge-off levels have been more elevated than as typical for Cullen over the last couple of quarters. Are you anticipating that will remain the case over the next two or three quarters?
Phil Green: I am not anticipating it, I mean, the thing that drove the charge-off, you know, 80% of it or so, this quarter was really a resolution of those loans I've been talking about, that have been moving through the snake. Actually, its been a couple of years maybe even three in one cases. Finally gotten to where one was completely sold off. The other is a down to a level that we feel pretty good about getting the remaining balance back. And it's under $10 million. So not pretty, because those have been resolved. The other credit that I've been talking about for the last several quarters is the largest one that - other than the ones that were on non-accrual at that time, when I began talking about it, and you might recall was a company that really needed to sell assets in order for its business model to work and they were trying to do that in a situation where capital has left the energy industry. So it very difficult for them to do that. And then whenever you layered on top of that, the impacts that happened with COVID, it was very, very difficult for them. So they ended up - we ended up having charge-off on that credit. But I believe down to levels that, again, are very manageable. So I feel good about. Those were the three largest credits that we had to deal with, they were the most seriously impacted. So those have been taken care of. There are a couple more that just as a result of the new environment and energy that are out there, but they're not big deal. So I expect to see energy charge-offs not be the same level as they were in the second quarter. You know, as I look forward on energy, I mean, I think we're going to see increases in problem loans, which we defined risk grade 10 and higher. And I think the biggest impact that in the second half is probably going to be in the service area, service is been really a big area for us, its about $200 million in round numbers and if you take those credit that are related more to the drilling component of it, that still hasn't come back even with a low 40s [ph] price. So I think that's where you'll probably see the increase in problem loans and we just have to see with regard to you know, if there are charge-offs there. Good thing about it is that people that we've met have generally been through multiple cycles and you know, I recall, service component of our component with the last downturn, '14 through '16, actually performed better than the production side, which surprised me going at. So anyway, that’s all way of saying, I don't expect the charge-offs to be the same level based upon the fact that so many of those were those legacy energy credits that we cleaned up, but you know, Jennifer, we're going to have to see what happens with you know, the pandemic, if were not to close things down again, nobody really knows the answer going forward, but that’s where I feel right now.
Jennifer Demba: Thank you. And of the $674 million in those greater at risk sectors, how much of that 674 is in that energy restaurant, hotel, aviation, entertainment and retail?
Phil Green: I think the $674 million be the part of that fees. The total of all the credits in those segments that we named, excluding energy was I think, $1.6 billion.
Jennifer Demba: But I guess, I'm sorry, I'm not being clear. So of your $674 million at problem loan, right, is the vast majority of those loans in those sectors you mentioned?
Phil Green: Let me take a quick look and see if I can, actually Jennifer, at this point no. You know, I'm just looking at the problem loan, that these would be on commitments for those sectors. So if you look at problems in restaurants the – and these are round numbers, around $23 million, problems on hotels or you know, $8 million problems on sports and entertainment, around $7 problems on aviation, $44, no, excuse me, about $6, sorry, problems on retail, all total look like around say just under $40, problems on - and that's pretty much it. So the problems are spread around, you know, in different areas in there.
Jerry Salinas: I don’t know, I think we said that the energy problem loans are about $177 million.
Phil Green: All about together compared to 600 in a year, you're going to get a good portion of it, but I wouldn't call it the vast majority where you continue your term.
Jerry Salinas: The other thing I want to give a little clarity on was our management overlay on energy. So our price deck is to get that out there for 2020 oil it's $30 for ‘21 its $36, for ‘22 its $40 and then for ‘23 its $45. And then we stress that at 75% is how we came up with our management overlay in energy.
Phil Green: And Jennifer, just to be clear, I think problems are going to increase, I mean, just as things if we go deeper into this pandemic and that you know, problem don’t necessarily equal losses, I mean, problem means you get your risk rate 10, for example, take hotels, I expect to see some increases in hotel problems, mainly because there were a couple of those - you know, if you look at that segment, I think we got in round numbers 21 as I recall, 21 different properties, and 7 were constructions, let’s say a third were construction and a couple that moved out from construction into operation and you know, we'll move those to problems until we see how they go, you know, they're probably not going to open until you can be confident, say a 15% occupancy number, that's when we're finding that hotels are opening, they could cover overhead around 35. Again, producing some cash flow at 50%. And so you know, as those come into - out of construction you know, we're going to immediately move those to problem and that doesn't necessarily no big issues, but they're in our view, they should be considered problems as we look at how they're doing in the early part of their operating status. So you know, that's just one example. You know, restaurants we're going to have to see how that continues to go. I think, you know, I mean, I think Jerry said, I think that you know, the problems there are going to be ones which are, you know, fine noting where you have to sit down, the premium, casual and then probably be other small places. We all got, you know, $100 million of that kind of thing. You know, we - again, restaurant problems haven't been that large. But we continue to see those problems continue to increase as the pandemic goes longer and longer. So, you know, I want to be [indiscernible] we reduced our problems to increase room, we really do think they're manageable. As I've said many times, it's kind of important what to do there in a crisis. But it's not nearly as important as what you do before the crisis. And I feel good about the disciplines that we've had in place, not that we won't make mistakes and you see the energy numbers that we reported, we've got to make mistakes and have made. And I feel really good about the way that we've done our business going into this cycle. Because it's really hard to get your way out of it - and you work going into it.
Jennifer Demba: Thanks so much.
Phil Green: Thank you.
Operator: The next question comes from a line of Ken Zerbe of Morgan Stanley.
Ken Zerbe: Thanks. Good morning.
Phil Green: Good morning, Ken.
Ken Zerbe: I want to ask about the PPP fees, the end of 20%. I think most banks that, you know, we look at, basically would expect to accelerate the PPP fees when they actually get paid off, you know, which I agree with you likely in fourth quarter, its a good chunk of them, if you're recognizing 20% of the fees this quarter, and presumably 20% over the next two quarters to your 60, does that imply that when the loan is forgiven, that you would see zero accelerated amortization of those PPP fees?
Jerry Salinas: Yeah, it would have to be pretty significant to affect that, because it's going to be pretty ratable. We kind of assume an average life of 24 months, kind of within, so we'll be looking at it monthly to see if that is really accelerating, but we do expect that big chunk of it to pay off in the third, late third and into the fourth quarter of this year. So we expect those balances to go down quite a bit. But yeah, I think that we wouldn't necessarily see a huge peak in those - in the recognition because of a huge amount of forgiveness, if you will. But it could be accelerated if they - if all of a sudden the average life that we're assuming which is 24 months that were a lot shorter, yeah, then that could be accelerated. I currently don't expect that to happen. There's a lot of unknowns obviously out there associated with this - with the portfolio. We do expect that, you know, a big part of the forgiveness will happen after that 24 week period. But again, as Phil mentioned in his comments, I mean, we are working on helping the customers through that forgiveness process. But you know, beyond some of the things that I've seen, for others, to me, it get all across the board on how people are recognizing those fees up. In my mind, ours wasn't - really wasn't more aggressive than others, and in fact, was less aggressive than some of the ones I saw. But obviously, we feel good about where we're at.
Ken Zerbe: Got it. And then is it right to assume that you'll recognize another 20% in each of 3Q and 4Q?
Jerry Salinas: I think our current assumption is something close to that. Yeah.
Ken Zerbe: Got it…
Jerry Salinas: What I mentioned was, our expectation is 60% this year, so that's an easy way to get there.
Ken Zerbe: Okay, and in heaven forbid, but if those loans actually don't get forgiven, and they get pushed out, what happens to the fees? Because it seems like you would have recognized all the revenues up front or beforehand?
Jerry Salinas: Yeah. Heaven forbid, as you said. Yeah, we are recognizing the fees as we go along.
Ken Zerbe: Okay, maybe there's a slightly different question. In terms of expenses, the 6% new growth rate year-over-year, it's - just doing back of the envelope numbers, it looks like that puts your expenses, I think back in the – if I got my numbers, right, call it the 2 to 20 range, let me make sure I got this, like the 2.25, 2.30 [ph] range. Is that kind of where you're thinking about the next couple quarters?
Jerry Salinas: You know, I think that you know, again - yeah, it's pretty simple math, you wouldn't be too far off from that number, given the guidance we’ve given.
Ken Zerbe: Perfect. Thank you.
Operator: Your next question comes from the line of Ebrahim Poonawala of Bank of America.
Ebrahim Poonawala: Good morning.
Phil Green: Morning.
Ebrahim Poonawala: I guess, first, Jerry, just very quickly, I had a follow-up on the margin. So, I guess I heard you say you expect the full year margin to be slightly over 3%, x all things, PPP. But could you tell us the amount of security that are coming up for maturity over the back half of the year? And I'm assuming that the use of - the maturing cash flows are about 3%. And what I'm trying to get to is, it seems like the margin will be come in the 290s by the time we exit 2020, with additional slight pressure beyond that, so just want to make sure we captured that correctly.
Jerry Salinas: Yeah, I think that we've got, you know, I think a big part of it is here in the third quarter, I’d say, if we look at our cash flow from - we had some agencies that were maturing in July, so I'm thinking we're around, you know, $600 million, $750 million between now and the end of the year.
Ebrahim Poonawala: Got it. And is there any component of the deposits that came into 2Q that you expect to leave the bank, which may be beneficial to the margin in terms of excess liquidity leaving?
Jerry Salinas: Yeah, you know, obviously we're a little bit of an unprecedented time here. You know, some of it, we do expect - some of the increase we do think is associated with those PPP loans and although it appears that some of it's getting park, you would expect that some of that will get spent out. Our model and assumptions indicated that we do see some of that going on. We're not comfortable disclosing how much, but at this point, but really to be honest with you, it's tough to tell. They continue to grow. When we look at the 12 month, look back on deposits, really about 85% of our growth, both on the consumer side and the commercial side, it's really from our own customer augmentation. And we continue to have good growth from new customers about 15%. But at this point, it's really tough. So I think there is just a lot of uncertainty, people you know, are being obviously more careful with their money and we haven't really - didn't really see a big decrease related to tax payments or anything that I've seen at this point. But obviously with pushback, we’ve expected some movement down July. So I think it's a little bit hard to tell. I think we're all kind of trying to grapple with what's been going on with deposits. You know, we've never been one to shy away from accepting deposits, obviously, like the fact that, you know, a lot of the new relationships that Phil mentioned, I mean, in some cases we’re going to start with deposits. But I think our growth from a standpoint of - compared to the second quarter last year, about - if I remember correctly, 70% of it is really commercial DDA. Which, you know, we're not paying any interest.
Ebrahim Poonawala: Got it. And I guess if I could ask one question for Phil, just in terms with - I guess it's tied to credit. But when you look at the environment today, across your markets in Texas, just talk to us around like, do you have a sense of confidence that things get better? Like did you see things deteriorate into quarter, as like some of the COVID cases increase in Texas? And how do you see this playing out vis-à-vis on to line when Texas actually outperformed quite nicely, given what we are seeing with COVID, given what we are seeing with the energy sector. Just give us a big picture view of how to think about how the economy may play out over the next 12 months?
Phil Green: I think the view of the economy over the last 12 – I kind of stated that some - the economy and all the other hand economy there are some parts of it that are doing well. You know, the – we talk to both dealers, we talk to the customers there. We've got a large – both dealer have been around since the 70s had their best months for their history in May, automobile dealer has been around for generations, best month in history in May, diamond distributors up 25% in May year-over-year. You know, there are a number of areas like that. If you look at the heavy equipment dealer that has - if you look at the parts in your business that are not related to energy, there's still positive, and there's lots of roadwork going on, there's lots of construction going on. On the other hand, you've got anything related to the energy piece is pretty much dead because that relates to sort of the surface fracking piece. So you know, you've got that, you've got, good pipelines from our customers as we talk to them on the construction side through November. On the other hand, there's concerns that with the municipal and business situations at you know, state and local levels that you may see the reductions in construction and roadwork and those kind of things because of the focus on basic services. So the pipeline's going into ’21, there's some concern on that. You're seeing now - you've got the energy piece, which we've been talking about, which has improved greatly to $40 or so. North of that, on the other hand, you're really not seeing any drilling right now. So the service side is going to be weak. So, and it's going to take, you know, just being a participant in Texas right now, sort of how the authorities decided to handle the situation with cases increasing. You know, I think there's a lot of activity, people are using mask. I mean, usually you go on a grocery store before, I'd say three, four weeks ago, maybe two thirds of people have mask gone, you go to a place today, it is, you almost never see anyone without one. And so some of the local authorities talk to here - realize that our hand has been dealt over the last three weeks or so, past Memorial Day - and then also past Memorial Day, because of what happened with infections and without a mandatory mask situation. But now that the people have been more careful, there's hope that that's going to help the situation going forward. So, you know, I think that the next six months are going to be probably the heavy lifting on just grinding through the general economic impacts on the portfolio. And hopefully, we won't be sitting here in the same situation, you know, at the end of the first quarter had done this because I think some of these businesses, these smaller businesses, et cetera are going to run out of steam without, some kind of continued fiscal stimulus. So, I know that's not definitive, naturally, truth is nobody knows, but there are some positive things going on. But on the other hand, there are negative things that we're all dealing with. I think end of the day, this really relates to some kind of medical solution, either through really effective therapeutics or through some kind of vaccine, and that's what we're along.
Ebrahim Poonawala: That’s good color. Thanks a lot.
Operator: Your next question comes from the line of Peter Winter of Wedbush Securities.
Peter Winter: Good morning. I was wondering on this Houston branch expansion, in the past you said it takes about 27 months for breakeven, you'll lose about $1.5 million before breakeven, but I'm just wondering, in this type of environment that we're in, you know how that impacts those two metrics?
Jerry Salinas: Those are average numbers, you know, as we went into the program. I'll tell you, maybe the best thing for me to do is just give you an update on how the Houston expansion is going. With regard to our pro forma, which we would have based those numbers on, we're at 143% ahead on relationships, call it 150% ahead of target on relationships. We're slightly below target on total deposits. We're about 83% of target of deposits today, but the momentum is positive going forward. And on loans we’re 200% plus of our target on the lending side. So I think we're ahead of those numbers that we were assuming that we gave when we entered into the program, and things have been going better than we expected. You know, one thing I'll point out is that half of the new relationships that we're experiencing in the Houston market are related to the expansion effort, and new relationship growth in Houston year-over-year is up 40%. And I also think that Houston is the only market we have for loan opportunities are positive versus a year ago. And so, you know, not only are the branches performing better, but I think there's some overall impact in the entire market that's it's benefiting from the effort. So, you know, I say it sometimes in the heat of battle, the fog of war, it's hard to focus on it. What are you doing right for the long term? I'm very excited and pleased with that - with the expansion strategy. And, you know, I think these numbers have shown that we're going to reach those breakeven numbers faster, and the impact is going to be less than we anticipate.
Peter Winter: That's very helpful. On the expenses, you keep lowering that expense guidance and last quarter, you put more focus on discretionary expenses and hiring, and then the benefit with this stay at home restriction. What are some of the drivers that you're able to lower that expense growth target, again, this quarter?
Jerry Salinas: Well, I think this quarter, some of what we're dealing with you, and you hit the nail on the head, a big part of it obviously is, the run rate is much lower and without knowing how that turns around, or when it turns around, we just thought it made sense to low our guidance. But, you know, I think if look that on, travel, meals, entertainment, that sort of stuff compared to the second quarter last year, was probably down 3 million, you know, marketing expenses this quarter were down quite a bit. We do expect that those will go up in the second quarter. We kind of slowed down some of the things we're doing. But, you know, we want to continue to have our name out there. Phil talked a little bit about our Net Promoter Scores, and we're very sensitive to what's going on in Houston. So I envision we'll spend some dollars there. There's some discretionary stuff that we you know, that we can do associated with, with performance. Obviously, it's not a not a great year. So that's coming in to the reduction that we're projecting here. And, you know, I'm really just looking for ways to be efficient. There's a lot of things that we learned, you know, Phil talked about our success on the PPP program, you know, a lot of that we couldn't have done without really improving some of our back office processes. And that team really, through IT and through our operations area, put a lot of processes in place to automate a lot of things. So our expectations are that we'll be able to do - continue to do some improvement there. We're really being careful. I mean, I think the team overall is really sensitive to the revenue challenge that we're in. So, you know, we're taking a look at every position, you know, if somebody leaves or retires, you know, we're asking ourselves whether that position needs to be replaced. And you know, really just asking everybody to question every dollar that they spend to be quite honest with you. And - but again, there are some discretionary incentive sort of type costs in there that are also affecting those dollars.
Peter Winter: Okay. Thanks for taking my question.
Operator: Your next question comes from the line o Michael Rose, Raymond James.
Michael Rose: Hey. Thanks for taking my question. Just as we think about loan growth as we move forward with the energy reduction strategy, and kind of the, you know, obviously, with some momentum in Houston. But how should we think about loan growth if we move forward? Thanks.
Phil Green: Michael, it's hard to say on loan growth. We are - it seems like we just been in the PPP business for the last, you know, two months. Although we, you know, have seen some growth, in our pipeline. As I mentioned, was up somewhat in the third quarter, you know, going into the third quarter, although that's – some of that is deals that, you know, were pushed forward in the quarter. If you look at the – give me just one second. Yeah, I think that we could see some growth in the third, but it's really hard to get this built on what it's going to be after that, because we just don't know what kind of, you know, activity businesses are going to undertake until they get some more visibility on the health issues. So, you know, I think high single digits has always been our goal for loan growth. I am going to expect its going to be more than that until we get some visibility on what's going happen medically and what's going on in the economy, I wish had a better answer for you. But we're still working that.
Michael Rose: Completely understand. We're in challenging times.
Phil Green: We are.
Michael Rose: As we think about the reserve at this point, we've had a lot of banks talk about the heavy reserves loan [ph] being done. How do you guys think about that, it looks like the reserve was down ex-PPP a couple basis points? How should we think about reserve levels at this point? Thanks.
Phil Green: Michael, I think what we did, which doesn't surprise me, it's been my experience. This is what we did. We hit it really hard, really early. So if you look at the first quarter, I mean, we had $175 million reserves built, numbers up. We had a much smaller amount in the second quarter really, because if you look at the first half of the year, and look at the numbers that we provided, I think that we were representative of people who are doing their business the right way. I feel good about that. Question is going to be what happens going forward? That’s just going to depend on the health situation, I think and I think we're going to see some increases in problems, but [indiscernible] I don't know how the CECL thing is going to play out, I mean, it's - it is what it is. That also creates uncertainty, what model can say, what the competition is going to be, I feel pretty good about where we are and about where our situation is with the reserve. I'm not going to say it won't increase, if things get worse, and it also could then - we could see provisions go way down, if the models and the situation indicates that things are continuing to improve. So its kind of like [indiscernible] I wish I had a better answer, but there's so much uncertainty, right. Jerry, any thoughts on CECL?
Jerry Salinas: No. I mean, I think you hit the nail on it. I think right now, obviously, feel good about where we're at. It just depends on what the second half of the year looks like. I think if things were to return – return to the worse, obviously, we did have expectations if that thing would increase, that reserve would increase, but right now we feel good about it. A lot of work is done both on the commercial real estate side. We've got the credit guys meeting with our relationship managers, weekly just like they do on the energy portfolio. So we're trying to stay ahead of all of that. But, you know, we can't really control what happens to the economy relate to the pandemic effect, if something happens there, we could see some challenges.
Phil Green: I think you made a really good point there that, we've established, I mean, again, it's not our first rodeo. And so we put in place counsels and energy counsel that reviews, I think we're reviewing all basically 90% of all the energy relationships on the production side, 85%, 90%, probably higher now on the service side, meets every week, it used to be for three hours, it's down to where it's probably half that time now. We established a commercial real estate counsel as well. That's doing the same thing on a weekly basis, going through the credits. You know, the relationship managers are responsible for communicating with customers, communicating back in terms of what they're saying. We need to understand the sustainability of their cash flow. We need to understand their plans and the effectiveness. They're adding on executing those plans, just a tremendous amount of work being done communicating with customers and understanding our situation. I’ll tell you though, I sit in on those, I want to monitor those, as much as I can. And you know, I'm always encouraged going, you know, going away from it, just the ability of our customers to execute and willingness to and our relationship managers, their ability to understand and have deep relationships with customers. I'll tell you another thing that I feel good about just anecdotally is, as you talk to people about credits, and listen to people explain what's going on with their credit. I sure am glad that we put as much focus as we do on guarantees and on structures, on those deals, it makes a big difference when you're reading it, right, if you get to the end and it's guaranteed and the people that are supporting it. That's what I mean by. It's really important the decisions we make going into the crisis, more so than what you do during the crisis, because now we're in it. But, I feel good about the way we're handling the credits, what our people are operating and feel good about our customers performance, you know, not that we won't have problems and not that they won't increase. But I feel that we did a good job of handling things across going into this.
Michael Rose: I appreciate the color. Just one last question. So if I look at pre tax, pre provision, earnings, it's a lower margin. I mean, when do you guys think that you will stabilize? And I know you didn't give the typical EPS guidance because the range is very wide at this point. But I mean, our pre tax, pre provision basis I mean, when do you think we kind of bottom? Is it the next quarter or two and then you grow, obviously 100% investments in Houston and everything that's going on? Just for wanted to – just from a guide perspective and when do you think we'd the bottom? Thanks.
Jerry Salinas: I think we're at the bottom, and we got to handle the situation and businesses are able to move forward. I mean, there's really - I mean, there's some political uncertainty because it's an election year. So we can't forget about that. But I mean, the big deal, this is COVID, and it's, it's the impact on the economy and on people and that's it. So I don't know the answer to your question.
Michael Rose: All right. Thanks for taking my question.
Jerry Salinas: Absolutely.
Operator: Your next question comes from the line of Jon Arfstrom of RBC Capital.
Jon Arfstrom: Thanks. Good morning, everyone.
Phil Green: Hey, Jon.
Jerry Salinas: Good morning, Jon.
Jon Arfstrom: Just a couple of follow ups, deferral numbers that you gave, it sounds like you have 1 billion on left. Any reason to think that the second deferral requests will be any different, the second half of the…
Phil Green: Jon, we don’t have any indication that it will be right now. So no, I mean, I'm not saying it won't be. But that's not something that, you know, we've seen a spike up from where it was, I think it's sort of going the same way.
Jon Arfstrom: Pipeline comments you've made quite a few, but how does the pipeline compare, say where you were at the end of the fourth quarter? Seems to me like it's an okay pipeline, but maybe a little narrower, than normal. But just kind of thinking about where you were?
Phil Green: You know, if you look versus a year ago, I happen to have that handy. The pipeline, you know, the gross pipeline was up 8% on that stuff weighted. But - and as I've mentioned, it's not on link quarter basis, 24%, but versus last year, it's up 23%.
Jon Arfstrom: Is it fair – can you talk about some construction projects? Just is it narrower or is it starting to broaden out?
Phil Green: You know, if you look at the pipeline, commercial, industrial is weaker. You know, you'd expect that. It's, flat to down 10% of the growth in the pipeline is in commercial, real estate and also consumer and consumer goods that are consumed. I assume I really talked about much, but our consumer pipeline is up 58% only quarter basis, it's up 138% from last year, now those are huge numbers. They're about - that growth is about 10% of what you see in, you know, the commercial or the commercial real estate side. So that's a positive. But - so it is narrower, probably, and right now it's more oriented towards commercial real estate and in consumer to consumer to say. And just add here, we're not going to see much pipeline in the energy space, right, because we're moderating our exposure there. As we've talked about for a long time.
Jon Arfstrom: Last one, I have maybe more big picture, but in an odd way, it seems like this environment is actually good for you in terms of market share and business development, maybe you're taking share. Just kind of curious what your approach is right now for calling on new business? What kind of plan do you have in place for getting people back out in the field? Thank you.
Phil Green: You know, right now, we're working on calls with Zoom, just a little clumsy. You know, if, you know, I take 30 days out of the year and just call on customers. And I've had I guess, four, maybe five days of that. Sorry?
Jon Arfstrom: You said Zoom…
Phil Green: Zooms kind of [indiscernible] You know, they're not terrible. They're a little awkward. You know, sometimes you have technology issues and all, you’re still getting to see people. You know, we're getting used to it. But we're kind of bumping our way along. I think the thing that really gave us the biggest push was just PPP. You know, and you can say, well, how much your PPP loans for customers? How are you getting loan customers, if you didn't do their loans, people are so frustrated with some of the experiences that they have - have had. And, you know, we've got a lot of good, reputational, you know, word of mouth, on the experience people had with us and it's been great. I mean, our numbers of new relationships, we report them every week. And we've seen them go from probably 30-ish to 100-ish a week, you know, for the last seven, eight weeks. And that's, you know, that's really notable and a lot and a big percentage of those are related to PPP. So that's good. You know, it's - I will say this, it's amazing to me how competitive it still is. I’ll just give you an example, take commercial real estate funding. You know, we lost - I gave you the total deals that we lost the structure, but if you looked at - just see deal, so we lost in 2019 68% of the deals that we lost, we lost a structure. In ’20, this year 92% of the deals we've lost, we've lost a structure. So it's amazing to me that you're still seeing some aggressiveness and structure in this market. So, you know, as far as the competitive situation, it really hasn't cleared up yet, but I think that we are, you know, this is kind of the time, it's good for us, we tend to be a stable force. In terms of providing capital, we don't move in and out too much. We kind of stay in the middle. People know that about us. You know, our reputation on PPP has been great. You know that I think it's really helped us out in Houston, where we've been growing. So that's good stuff. I think there's some - I agree with you, there are some positives in this market for us taking share. But there's a lot of work that we've got to do to get there. And also another thing we talked about, I think it's harder to move business over in this situations people just kind of hunkered down. And so that may make a little bit more difficult, but that’s the label now competitively
Jon Arfstrom: That helps. Thanks, guys.
Operator: And your final question comes from Matt Olney at Stephens Inc.
Matt Olney: Yeah, thank you. Just wanted follow up on the investment securities portfolio? The yields ticked a little bit higher in 2Q, I was surprised. And given your commentary around the upcoming maturities, it sounds like you're saying that security yields should see a material decline, I think in the back half of the year, is that right? And then if so, how should we think about the magnitude of declines in security yield?
Phil Green: Yeah.
Jerry Salinas: I haven't really addressed the significance of the decline. You know, I don't know that I've gotten fund requests coming off at what rate. Yes, improvement really between the first and the second quarter, some of it was really - we had some maturities of some tactical securities that were below or I guess we had a sale to some securities that were below the average yield. So that kind of pumped up the yield in the second quarter compared to the first. And I think that, obviously for anything that’s maturing right now, yeah, it's really difficult to find any sort of - anything out there along the yield curve. So it is just going to be our guide, just continuing to see what we can look at. We will spend some of our liquidity. I think I said we spent about $200 million of it in the second quarter. Not a great rate there though, at 1.5%, but we're going to take a look at that and we'll probably spend a little bit more in the latter half of the year.
Matt Olney: Jerry, are there any larger chunky maturities that you see at the back of the year?
Jerry Salinas: No, I think that they're all pretty ratable. We did have a - is if I've got the yield on this year. I guess we had, hold on a second, bear with me, let me get my notes here. So I guess, we had in the first quarter, we had quite a bit of that we likely talked about, maturity in sales in the treasury's portfolio. In the second quarter, you know, really there wasn't, you know, that I don't have any sort of size associated with, I think we had really matched our sales and our purchases pretty evenly. I think we had 200 million maturing in the second quarter and replacing with $200 million. The yield I saw on the munis, for example, about $50 million of it was munis, and that was coming off at about a 279. So yeah, there's nowhere we can find anything like that right now. But that 279 is really the only comparable, I can give you that matured in the second quarter.
Matt Olney: Okay, great. Thank you.
Jerry Salinas: Sure.
Operator: There are no further questions in queue. Do you have any closing remarks?
Phil Green: Thanks, everybody for their participation today. And we'll be adjourned.
Operator: Thank you for your patience. Ladies and gentlemen, you may now disconnect.